Operator: Good day, ladies and gentlemen, and welcome to the Quarter 1 2014 Discovery Communications, Inc.'s Earnings Conference Call. My name is Sue, and I will be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Craig Felenstein, Executive Vice President, Investor Relations. Please proceed, Sir.
Craig Felenstein: Good morning, everyone. Thank you for joining us for Discovery Communications' 2014 First Quarter Earnings Call. Joining me today is David Zaslav, our President and Chief Executive Officer; and Andy Warren, our Chief Financial Officer. You should have received our earnings release, but if not, feel free to access it on our website at www.discoverycommunications.com. On today's call, we will begin with some opening comments from David and Andy, after which, we will open the call up for your questions. [Operator Instructions] Before we start, I would like to remind you that comments today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. These statements are made based on management's current knowledge and assumptions about future events, and they involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations, please see our annual report for the year ended December 31, 2013, and our subsequent filing made with the U.S. Securities and Exchange Commission. And with that, I'll turn the call over to David.
David M. Zaslav: Thanks, Craig. Good morning, everyone, and thank you for joining us. Discovery's off to another strong start in 2014. The consistent financial and operating momentum we have generated over the past several years continued in the first quarter. Solid organic growth, combined with contributions from our new international acquisitions, gave us a diversified and balanced performance across revenue streams, network brands and geographic regions. The sturdy foundation of our global business model continues to give us both sustained long-term organic growth but also great optionality to invest in future growth initiatives around the world. Our primary focus continues to be the same: exploit Discovery's unparalleled global infrastructure built over the last 29 years; invest in bigger, stronger brands with more content on the screen; increase our market share and audience delivery; and take advantage of the ad sales and platform opportunities that an evolving global media landscape provides. Given the deal activity across the industry right now, along with media speculation regarding potential Discovery involvement, I know there is some interest in our investment strategy, so let me take a few moments at the top to address that question. Our first priority remains to create long-term shareholder value by producing quality content that grows our audience and can be leveraged globally and across platforms. There is still plenty of organic growth ahead from the expansion of the global pay-TV sector. And with more people viewing more content on more screens than ever before, it is a great time to be in the content business, especially when you own all of your own content. Where we can put money back on the screen, into stronger brands, into new formats and talent, into valuable IP and top creative leadership, we will look to make the most of those opportunities. Secondly, we are opportunistic regarding acquisitions that exploit our strategic advantages, especially our local international sales force and technical infrastructure, and give us more must-have content, a stronger brand portfolio and more penetration in key growth markets around the world. We are very fiscally disciplined with regards to deploying capital and have great balance sheet flexibility. Given the strong organic growth opportunity across our asset base, we are only focused on assets that will help us sustain that profile over the long term, primarily complementary dual revenue stream channels that can provide more scale, like Eurosport and SBS; or assets that offer valuable IP or creative talent in must-have programming categories, like our recent acquisition of the award-winning production company, Raw. I will not comment on every auction or sale process that has been covered in the media lately, but I am confident of the rigor, discipline and strategic focus we are bringing to the marketplace to help supplement our strong organic growth. And if we cannot find any additional opportunities to strengthen our portfolio or position for the next generation of growth, we are committed to returning value to shareholders through our robust stock repurchase plan. Andy will provide some context surrounding our underlying financial results in a few minutes, but before he does, let me also walk you through the key drivers of our organic growth, along with some of the strategic initiatives we are focusing on to maintain momentum in the years ahead. Discovery's biggest driver is, without question, our ability to attract more and more viewers to our diverse channel lineup. Demand for high-quality content with great storytelling and compelling characters has never been higher, and our broad reach, combined with a sustained investment in stronger global brands, is enabling us to attract larger audiences worldwide. I mentioned on our year-end call that we have delivered 5 consecutive years of viewership growth across our domestic portfolio. And that momentum has certainly continued into 2014 as we delivered the best first quarter in the company's history. Viewership across our U.S. Networks was up 9% in primetime this past quarter among key adult 25 to 54 demo despite the competition from the Olympics. And this growth was broad-based, with success from established brands as well as from emerging networks as we identify and invest in new avenues to satisfy curiosity. The audience gains at our established networks were highlighted by TLC, which delivered 12% audience growth in its key women 25 to 54 demo, led by strong gains from returning favorites Here Comes Honey Boo Boo and the Little Couple; and ID, which generated viewership growth of over 30%. ID is now the fourth-ranked network for women 25 to 54 in Total Day despite only being in 85 million homes, and ID has the longest length of tune of any network on television. Discovery Channel ratings did decline year-on-year during the first quarter, primarily due to the Olympics' impact, but they have regained their momentum in April with viewership up 12% in primetime versus a year ago, led by returning hits Naked and Afraid, Fast N' Loud and Deadliest Catch. Catch returned for its 10th season 2 weeks ago and is delivering its largest audience in 3 years, remarkable staying power for this iconic series. As we further strengthen our established networks, we continue to broaden our portfolio by investing incrementally in an expanding set of emerging brands. I have said repeatedly that we believe we can invest wisely and deliver content that is unique and engaging. You can still attract new audiences and deliver real value to advertising and affiliate partners. No better example of this than the success of OWN network, which built upon its 25% audience growth in 2013 with viewership up 59% in the first quarter in its key women 25 to 54 demo, led by the return of Tyler Perry's hit series, The Haves and the Have Nots, and Love Thy Neighbor, along with the second season premiere of OWN original series Raising Whitley. Most importantly, OWN delivered significant cash flow and equity earnings to Discovery in Q1. And these returns should only grow given the momentum across the network. OWN is not the only emerging brand that is growing significantly. Destination America was up 25% this past quarter among people 25 to 54, while Velocity grew its key demo over 40%. And our newest network, the American Heroes Channel, was up 19% versus a year ago, when it was still the Military Channel. Driving the potential of our valuable distribution real estate by investing in new brands and breaking new ground that ignites viewers' curiosity remains a priority, and we will continue to invest incrementally in these networks if they demonstrate the ability to attract larger audiences. The ratings momentum we are generating across our portfolio has given us a good start to 2014, with 5% ad revenue growth this past quarter, but also puts us in a nice position heading into what we hope will be a robust upfront. While it's too early to predict where the upfront ultimately ends up, with scatter pricing well above last year's upfront, sustained ratings momentum across our networks and what I think is unquestionably the best ad sales team in the business, we expect to do very well in our discussions with our ad partners. Advertising is not the only area where we are capitalizing on the success of the content we have invested in over the last several years. Towards the end of 2013, we completed our latest round of affiliate negotiations, and we were very pleased with the outcome as our distribution partners continue to recognize the value of the brands we have built and the must-have content driving the audiences we deliver. While our investment domestically is certainly paying off in terms of market share gains, new avenues of growth and sustained financial momentum, there is no question that the U.S. is a more mature market. The faster growth today and the greater opportunity moving forward certainly lies internationally, where pay-TV penetration is still expanding nicely in many markets and where the investments we have made over the last 2 decades are allowing us to take full advantage of the burgeoning demand for high-quality content. It has been 25 years since we first launched our first channel across the U.K. and the Nordics, and we now have more channels in more markets with more subscribers than any other media company. The unmatched global distribution platform we have built is the backbone of our international growth as it enables us to not only capitalize on the further evolution of pay-TV, but given our local market experience, we can also quickly identify new opportunities to launch networks and satisfy new consumer demand. The result has been sustained double-digit subscriber increases, and while the rate of subscriber growth will certainly slow over time, pay-TV penetration is still well below 50% in countries like Brazil, Mexico and Turkey. So there is still room for continued distribution gains across our market position. As we benefit from an expanding subscriber base, we are also driving viewership with a more robust content offering so we can fully exploit the opportunities our unique market position provides. No better examples than the rollouts of TLC and ID. TLC and our female flagships now reach over 170 countries and territories and are the most widely distributed female lifestyle brands in the world. We just celebrated TLC's first anniversary in the U.K., and ratings in the quarter were up 130% versus the same period a year ago. ID's content is also resonating globally. It has now been rolled out to over 150 markets. And just last month, we launched ID Extra across parts of Central and Eastern Europe to further leverage the demand for crime and forensic content. The strength and local feel of the brands we have built, along with the subscriber growth we delivered this past quarter, resulted in overall viewership growth of 8% across our international portfolio. And this expansion is broad based. We are not overly reliant on any one region or country, with increases across every region, led by Brazil and Argentina in Latin America, Italy and the U.K. in Western Europe, India in Asia Pacific and Russia and South Africa in our CEEMEA region. The biggest upside internationally resides on the advertising front, and with more viewers watching our content than ever before, both from subscriber growth and a more robust programming offering, we are uniquely positioned to capture a greater share of a rapidly growing pay-TV ad market. As we focus on increasing share and maximizing the full organic growth potential inherent in our asset portfolio, we are also beginning to see some of the revenue upside from our SBS Nordic acquisition. We are still in the early days, but the Discovery suite of networks is certainly benefiting from the increased reach we have in the Nordic region, as the diversity and depth of our content offering is quite compelling to advertisers. At the same time, we expect to close shortly on a majority ownership position in Eurosport, and we can begin to combine the power of Eurosport's brands and audience reach with Discovery's network portfolio, local infrastructure and country-specific expertise. With networks in 54 countries and a diversified content portfolio of sports programming, Eurosport will complement our existing stable of assets and deliver new opportunities with advertising and affiliate partners. As I mentioned earlier, these assets only enhance the long-term growth we already are cultivating, and they further bolster our long-term outlook for deepening our geographic footprint, broadening our portfolio with new networks and brands and enhancing our creative pipeline with new talent, personalities and formats. Overall, Discovery is off to another strong start in 2014. Our primary focus remains strengthening our diverse brand portfolio so we can capture additional market share around the globe and take advantage of a generally stable worldwide operating environment. Given the operating momentum we are generating across the company and the opportunities our infrastructure provides, we fully expect to deliver sustained organic growth, even as we invest in building additional long-term shareholder value. And now let me turn the call over to Andy.
Andrew C. Warren: Thanks, David, and thank you, everyone, for joining us today. As David mentioned, Discovery is off to a very solid start to 2014, delivering strong organic growth as our content attracts more and more viewers around the globe and we leverage the many opportunities across our worldwide distribution platform. On a reported basis, total company revenue in the first quarter increased 22%, led by 51% international and 3% domestic growth. Excluding SBS Nordic, which was acquired in April 2013, as well as the impact of foreign currency and licensing revenue from our existing Netflix agreement, total company revenue growth was 8%, with double-digit global advertising growth despite the Olympics and high single-digit global distribution growth. Total operating expense on a reported basis increased 34% in the first quarter, primarily due to the inclusion of the SBS Nordic business. Excluding this acquisition and the impact from foreign currency movements, total company expenses increased 9% versus the first quarter a year ago, primarily due to anticipated higher marketing costs, while content expense growth returned to normalized levels, up 8%. On a reported basis, adjusted OIBDA in the first quarter increased 5%. Excluding SBS Nordic, as well as the impact of foreign currency and licensing revenue, adjusted OIBDA grew 6%. Net income available to Discovery Communications of $230 million was in line with the first quarter a year ago, which included $31 million of other income, due in large part to a $92 million gain associated with the step-up value from raising our ownership interest in Discovery Japan 80%. Excluding other income, net income was up 21%, primarily driven by the strong operating performance in the current year, a lower tax rate and a $43 million decline in mark-to-market equity-based compensation, partially offset by $51 million of increased amortization expense, primarily due to purchase accounting associated with the SBS Nordic acquisition. Earnings per diluted share for the first quarter was $0.66, 5% above the first quarter a year ago. Adjusted earnings per share, a more relevant metric from a comparability perspective as it excludes the impact from noncash acquisition amortization expense of intangible assets, was $0.75, a 19% improvement versus Q1 2013. Free cash flow in the first quarter of $213 million more than doubled versus a year ago, as the strong operating performance and lower tax payments were partially offset by higher content investment and stock-based compensation costs. It is important to note that content spend excluding SBS Nordic increased only mid single digits, even as we continue to drive market share growth across the globe. Before moving on to the divisional results, I do want to highlight that while not part of our reported free cash flow, OWN repaid Discovery $16 million in the first quarter versus receiving $14 million of funding in the same period a year ago, therefore a $30 million year-over-year improvement. Turning now to the operating units. The U.S. Networks continued to perform well during the first quarter, with total domestic revenues of 3% as advertising and distribution growth were partially offset by a $6 million decline in other revenues due to a decrease in content licensing sales as we increase the programming being shared with our International Networks rather than selling to third parties. We anticipate a similar negative trend in other revenues for the remainder of the year. Advertising revenues increased 5% in the quarter as a strong pricing environment and higher delivery across the majority of our networks more than offset softness at the Discovery Channel during the Olympics. Looking ahead to the second quarter, given the relatively stable current ad market trends with scatter pricing up high single to low double digits from last year's upfront negotiations, and with the ratings I mentioned that David mentioned, we anticipate ad sales growth will once again be in the mid single-digit range despite headwinds from the cancellation of our Everest Live events and the sale of HowStuffWorks platform. Excluding these items, we would have anticipated acceleration in ad sales during the second quarter. Distribution revenue growth domestically was 4% on a reported basis and 6% excluding licensing revenue as we recognized the higher rates we were able to secure during the latest round of affiliate negotiations. Please note that while the organic growth rate for fleet revenue will continue to be in the same improving range for the remainder of the year, the reported affiliate growth will be negatively impacted by the additional licensing revenue that we recognized in the second and third quarters of 2013 but offset by any new licensing deals that we may complete during the remainder of the current year. Looking at the cost side. Domestic operating expenses were up 5% from the first quarter of 2013, primarily due to anticipated higher marketing spend, most notably on the Discovery Channel for our scripted series Klondike. Domestic adjusted OIBDA increased 2% on a reported basis versus last year's first quarter and 3% excluding the impact of license agreements as the increased marketing costs partially offset the realized revenue growth. Turning to our international operations. Reported results include the impact of SBS Nordic, but for comparability purposes, my following international comments refer to the results excluding this acquisition. The international segment continued to deliver strong momentum across our global operations this past quarter with revenues expanding 11%, led by 24% ad and 6% affiliate growth. Excluding the impact of exchange rates, total revenue growth was 13%, with advertising revenue increasing 23% and affiliate revenue up 10%. The advertising growth is broad based, with double-digit increases across nearly every region, led by Western Europe, primarily from the continued success of our free-to-air initiatives in Italy, Spain and the U.K., and by Latin America from increased volumes across the region. Our Discovery suite of networks also benefited in the Nordic region from the greater reach we now have in the market following the SBS transaction. On the affiliate front, the 10% affiliate revenue increase in the quarter excluding currency was driven primarily by subscriber growth, especially in Latin America from the continued expansion of pay television in Brazil and Argentina and in Central and Eastern Europe from additional subs in Russia and new launches in Turkey and the Middle East. Please note that moving forward, as we include the SBS Nordic affiliate growth in our organic results, we anticipate organic international affiliate growth to be in the high single digits for the remainder of the year. Turning to the cost side. Operating expenses internationally were up 10% in the first quarter excluding currency, primarily driven by higher content amortization and increased personnel costs as we further expand our global footprint. The International segment delivered 18% adjusted OIBDA growth in the first quarter excluding foreign currency as the international team continued to significantly grow revenues by thoughtfully investing in key long-term growth initiatives. Taking a look at our financial position, with a strong balance sheet and sustained financial and operating momentum and given our gross leverage targets and long-range free cash flow per share growth assumptions, we have the opportunity to continue to return capital to shareholders as we invest in our global businesses. Discovery was precluded from buying back shares until our February earnings call, but we have repurchased over $450 million of stock thus far this year. And given our current expectations for uses of capital, we anticipate that we will continue to be aggressive with share repurchases for the remainder of the year. In total, since we began buying back shares towards the end of 2010, we've spent over $4.6 billion buying back shares, reducing our outstanding share count by 23%. Turning to the full year. Note that current guidance still assumes that the Eurosport transaction closes very soon, and while we have included the projected results and purchase accounting adjustments associated with the transaction in our full year expectations, these items are preliminary estimates, which we will update if the close timing shifts or other items change materially. We remain encouraged by the momentum across our asset portfolio and the continued strong pricing and demand environment in many of our key markets. Therefore, we are leaving our guidance unchanged despite meaningful foreign currency headwinds since we last reported as well as higher corporate costs associated with accelerated stock compensation and professional fees. For the full year 2014, we still expect total revenues to be between $6.45 billion and $6.625 billion, adjusted OIBDA to be between $2.6 billion and $2.725 billion and net income to be between $1.2 billion and $1.3 billion. Again, thanks for your time this morning. And now Dave and I will be happy to answer any questions you may have.
Operator: [Operator Instructions] Your first question comes from the line of Doug Mitchelson, Deutsche Bank.
Douglas D. Mitchelson: David, you just had your upfront, and usually, you have a pretty good view as to what programming hours are going to be in the forward year versus what you produced in the prior year and what the cost might be. So you talked about the strategic priority of investing in your global footprint. Could you give us a sense of what kind of increase in programming hours and programming costs you're thinking about for next season or as we look forward? And Andy, you mentioned Eurosport's a soon to be -- assumed to close very soon in guidance. When do you think about close? What are the steps for that deal to be completed at this point?
David M. Zaslav: Thanks, Doug. We had a good upfront, and we're off to a good start in terms of our content for the year. For the quarter, we were up 10%, with real momentum at TLC, ID, American Heroes Channel, Destination America, Velocity, OWN. I mean, to be up 10% in Prime and 5% in Total Day while the rest of the industry was down 5% in Prime and down 4% in Total Day really reaffirms our core mission of growing market share. And all that content, or most of it, we own and get to take around the world. The fact that our content has been more successful is a helpful factor for us in terms of how much we need to invest. The more returning series we have, the more quality content we have on brand that's resonating, we can temper down our content investment. So whereas 2 and 3 years ago, we were in the mid teens in investment as we were really trying to find our voice on a lot of the channels, we then went to high single. We're now at mid single. So I would say between mid single and high single. And we're feeling quite good about our creative team domestically and internationally, which is really key for us, growing market share domestically and around the world.
Andrew C. Warren: And Doug, regarding the question on Eurosport. At this point, we have received all of our regulatory approvals. So we're going through kind of standard closing procedures and processes, which is why we anticipate closing soon.
Operator: Your next question comes from the line of Ben Swinburne, Morgan Stanley.
Benjamin Swinburne: I just wanted to clarify, you said, for the rest of the year, domestic affiliate growth excluding licensing in the same improving range. I just wanted to understand if that means continued sort of sequential acceleration. I just wanted to clarify that. And then my question, David, you talked about the biggest upside for our company, or at least internationally, is in ad sales. And Andy said that the growth was led this quarter by Western Europe, Italy, Spain, U.K., free-to-air. I think for a lot of people, those are just sort of tough markets to understand the dynamics internally, particularly because they are free-to-air networks driving your growth. So if you can, maybe spend a minute just telling us why the growth has been so strong, how sustainable it is, what the opportunity is in those markets as the free-to-air operators are coming in from the U.S. position that you've had. I know you have cable assets, cable network assets in those markets, but it's sort of a different approach that you've taken. And it seems to be working, so maybe spend a minute on the opportunity in those countries that seem to be driving a lot of your growth. That would be helpful.
David M. Zaslav: Sure. First, on the affiliate side, we were able to find some meaningful success with our new deals at the end of last year. So our affiliate rate has gone from 5 to 6. You'll see that go up throughout the rest of the year. So that locked-in affiliate subscriber fee growth rate will rise. It's a function of higher increases we were able to get, plus additional distribution, with fees, for a number of our channels. So we feel very good about that, and you'll see that coming through on a quarter-to-quarter basis and growing. On the ad sales side, we're really seeing -- we're seeing double-digit growth everywhere. And so the first piece is that Latin America has been very strong. So we have seen Western Europe, but Latin America continues to be very strong for us, Brazil and Mexico in particular, where we have 5 of the top 15 channels in Brazil, including the #1 channel in Brazil with Discovery Kids; and in Mexico as well, where we have 5 of the top 20 channels. So we're very well positioned there. In Western Europe, the idea of free-to-air is a little bit of a misnomer. We're getting our growth both from our pay-TV business, but the free-to-air channels are really -- it's a different model for us. We're not doing news, we're not doing sports and we're not doing a lot of original content. It's that we have a huge library of content in language that we can -- where we can launch a channel in Spain and have a very low cost base. And because Spain and Italy and Germany are very low-penetrated on pay-TV, we really have kind of a hybrid asset. We have a very low-cost, free-to-air channel that allows us to take advantage of a very strong advertising market, and we already have an ad sales team in place because we've been in those markets for 10, 15 years. In the case of Spain, we are newer to that market. But we're taking advantage of infrastructure, but I think it's fair to say that the growth has been very broad also in Asia and India, and Russia continues to be strong in Eastern Europe. So I think the free-to-air is helping us, but it's all been lapped. And we'll see it now as pure growth. And the fact that our market share in this past quarter grew an additional 8%, and the quarter before, we grew mid teens to almost 20%, we're seeing continued growth, and we think it's very sustainable because it's broad based.
Operator: Your next question comes from the line of Anthony DiClemente of Nomura.
Anthony J. DiClemente: I just have a couple for Andy. Andy, you mentioned the Mount Everest events that were canceled and then the sale of HowStuffWorks. I'm wondering if you could size for us in terms of revenue and OIBDA what those couple of items had previously been expected to contribute to your 2014 guidance outlook. And then also, Andy, just wanted to ask about the free cash flow generation. I think if I take the midpoint of your OIBDA guidance and I take, historically, what your EBITDA to free cash flow conversion has been, I get to pretty close to $1.3 billion of free cash flow in 2014. Is that in the range? Can you -- I know you don't give free cash flow guidance, but can you speak to that thought process on free cash flow?
Andrew C. Warren: Sure. And on the first piece, we clearly would have had more acceleration in the second quarter ad sales with Everest. We do expect to still see some acceleration in the second quarter relative to the first, but as I said, we'll expect, overall, to be in the kind of mid single-digit range. With regard to free cash flow, look, we're definitely seeing some nice flow-through, as you say, and a big driver of that is tax. Even though 181 was a huge benefit last year, on an apples-to-apples basis, our focus on tax and deferred taxes and reducing our effective tax rate is really allowing us to see more and more flow-through. But for this conversation, we're still going to focus on the $1.2 billion plus of free cash flow for the year as we continue to invest in content and take a look at how do we strengthen our international portfolio.
Operator: Your next question comes from the line of David Bank, RBC Capital.
David Bank: So you walked through some pretty robust ratings trends at ID, Destination America, Velocity, American Heroes. You talked about the strength in the domestic portfolio, particularly at TLC on the more developed networks side, and you kind of went through the overhang of Everest and HowStuffWorks. I guess, given these ratings trends, do you think it's realistic to expect to be able to return to kind of high single-digit ad growth in the back half as you can monetize these ratings and some of the comps change on the basis of Everest and stuff? Are we looking to potentially get back to high single-digit ad growth?
David M. Zaslav: Well -- Dave, so first, this quarter, we were up 5%. The last time we went against the Olympics, we were up 3%. And we're up 5% against a quarter last year where we were up 8%. And part of that had to do with the fact that Discovery got hit pretty hard by the Olympics. The rest of our networks fared better, but Discovery, which is a significant piece, Discovery and TLC together, in terms of higher pricing and volume, got hit. It did -- we did rally, and we're up about 12% in Prime in April, so that's a good sign. For us, the good news is we're really in this for the long term, so when you look at ID and you look at Velocity and you look at TLC, we're kind of in a -- we view these things differently. We're generating content that we take all over the world. So when you see a show on ID, it's now in over 150 countries. It does take time to get pricing. Even though ID is the #4 network in America for women, we still don't get the pricing that we think we deserve on that. The good news is, we're doing much better this quarter than we did last, and we're doing much better than we did a year ago. And as we went into this upfront, ID had much more strength and credibility. It had the longest view on cable in terms of time people spend with it. So the good news here is our overall mission of investing more in content, more in brands and growing our market share is really a long-term play. You're going to see sustainable growth in our pricing on ID for the next 2 years, at least, before we get to where it should be. And so that'll continue to bear fruit. Velocity and Heroes Channel, they're -- and Destination America, they're kind of lower on the ladder, which is a goodie and a baddie. The baddie is we can't fully take advantage of the fact that these channels are doing really well and gaining significant share. The goodie is that every quarter, we're able to gain on price and it becomes more of a sustainable play. People still only watch 6 to 8 channels, and they're spending a lot more time watching ID, Velocity, TLC, Animal Planet. They're watching our channels. 8 years ago, we were about 4.5% of the share of viewership on cable. Today, we're almost 13% of the viewership on cable. And so to us, that is the characteristic. That is the piece of data that's most important. The advertising market can go up and down, but share is something that's pretty steady if you can get people spending time with your brand. So we look at these channels and we think they're real growth opportunities for us. And the same is true outside the U.S. We've launched ID in 150 countries and TLC in 170, and we're doing -- our pricing is getting better this year than it was last year, and it'll continue to bear fruit for us. So when you do see our numbers being high, and a lot of those might be that TLC and Discovery are up a little bit and these other are up a lot, you can do the math and see that we won't be able to get the full value of those right away, but we will be getting those values over the next few years.
Andrew C. Warren: And just to add, Dave, a little more color into that, look, the good news is, as David said, our audience share is up year-over-year and continues to grow. We still see some good scatter volume in the marketplace, and we still see scatter pricing up high single digits and low double digits relative to the last broadcaster front. On the challenging side, cancellations are up a little bit. Options are being taken a little bit more than prior year. So it's really going to depend on the scatter market and the ratings in the flagships, as Dave said, and, of course, how we do in the upfront in the next several weeks.
David M. Zaslav: The other thing that we've done is we could bring more money in if we went for value. But our view is that ID is now in 85 million homes. It will be in almost 90 million homes over the next 18 months. It's a top-5 channel in America, and rather than concede price, we're holding price. Destination America is doing really well for us, as is Velocity. And so in many cases, we're deciding not to take extra money in order to hold price, and we think that also will provide more sustainable growth and more value for us in the long term.
Operator: Your next question comes from the line of Jessica Reif Cohen of Bank of America Merrill Lynch.
Jessica Reif Cohen: I have a question on international and a couple on domestic. David, I totally appreciate that you don't want to get into any specifics of what's been in the press, but maybe just a comment on your kind of medium-term strategy outside the U.S. How much opportunity do you think there is to build new channels? And where do you think you'll need to buy or what kinds of things would you -- do you think you need to buy to strengthen the portfolio? And then domestically, I guess, just a couple of small ones. Do the newer deals include TV Everywhere rights? And if not, why not? Can you comment on any interest you have in doing some OTT deals à la what Disney did with Dish? And probably, DIRECTV, as we understand, is reaching out. And then finally just to follow-up on that SVOD comment that you guys made earlier. The you not selling at all -- it sounds like there won't be SVOD revenue until the fourth quarter. I think -- well, I just wasn't sure. Did you say it's because you want to keep your content for your own use? Can you clarify that?
David M. Zaslav: Sure. Thanks, Jessica. First, on the international side, the good news is we are the largest platform media company in the world. We have, on average, 8 channels in 230 countries. So in most of those countries, of those 8 channels, we've done a really good job of getting 5 or 6 of those to be quite good, and we've been growing market share. We still have some work to do. We're in like the fourth inning in terms of our overall growth strategy internationally. We have the real estate, we have the sub fees and we're making the channels better. So we don't need to buy anything. Our market share is growing. We have a good reputation around the world. Our brand is well known. In most countries, Discovery is the #1 brand for men. TLC is doing extremely well and profitable. ID is doing very well, as is Animal Planet. What we're really trying to do is be opportunistic. We've spent a lot of money and a lot of time over the last 8 years getting local. So we now have local teams in virtually every country. We have creative teams, we have strategic teams, we have sales teams and distribution teams. And so the opportunity to evaluate an asset, to have synergy and to be -- for the right asset, to put it together with ours, is a -- we're very uniquely positioned. And so we've been looking, but we are -- because we don't feel like we need to make any acquisitions, we've been quite careful. So we have -- there's been a lot in the press about some of the things we've been looking at, and the truth is, we look at everything. But we only want to buy assets that are going to really help us strategically and get us to grow faster or as fast in the long term. And so we've passed on a lot of stuff. And sometimes, when we look at assets, we look at assets with a distribution partner, often because that partner could provide additional value to us. So when we evaluate a deal, we look at the synergy of the transaction, whether we think there's upside for -- to build in that market and how strong the asset is. But also, we have very good relationships with distributors and the ability to do a tag-along, where we can do deals to get additional carriage, maybe better carriage, maybe better economics from a distributor when we, on occasion, look at joint bidding. Those are the kind of things that we think about. We don't need to do anything. This quarter, we grew 23% with double-digit affiliates. Our international business is really in full stride. So that's kind of how we see that. On the domestic side, our deals -- we were able to get better economics with roll-downs. And we did do TV Everywhere, and we were able to get -- the aggregate basket of value we got was quite good, and we're very happy with it. And you'll continue to see that flow through. And it represents the fact that we now have over 12% of the viewership on cable and very strong affinity brands. On the OTT side, I've said it before, and it continues. It's just probably the best time to be in the content business when you own your own content, at least for the near term, for the next 3 to 4 years because there's more and more buyers and more windows for our content. And in the U.S. now, to have an OTT buyer is just somebody else that wants to pay significant dollars to have access to some or all of our channels and access to some or all of our programming. We are platform-agnostic here in the U.S. and around the world. And when we have an opportunity to bring in extra dollars in ways that we think provide long-term value, we will. In other cases, there -- we've only done 2 SVOD deals outside the U.S. We could do a number of SVOD deals and just bring in more dollars, but we've decided strategically that we're better off really driving our cable channels right now and aligning with our distributors because in some of those markets where, like Brazil, where only 26% of the market has pay-TV, we don't want to mix up our brand yet until that market and other markets are more penetrated. Finally, SVOD is a real opportunity for us. We didn't do a deal with Amazon, but we still may. We have a good relationship with them. We have a good relationship with Netflix. We have a good relationship with Hulu. The fact that our market share is growing means we have more shows. Tyler Perry has a show on OWN that's the #1 show for all of women on cable on Tuesday nights with Haves and Have Nots. Naked and Afraid is doing great for us, Gold Rush. So we have a lot of good shows, and they're getting better, but we think that our content has real value. And when you put on any of those platforms, you need a bulk of content and you need quality content, and we think we have both. And so we think you'll see some SVOD deals from us. You may see them soon, you may see them later. But right now, the only issue for us is there's a gap in the value that we think all of our content is worth with all of our brands and the value that some of the distributors think. But I think that we'll find a way to true-up that gap.
Andrew C. Warren: And just to add 2 points, Jessica, on the international front. As we talked about, a strategic imperative for us is to grow our base organic margins. And if you look at the first quarter, take out SBS and excluding foreign exchange, which was a negative year-over-year impact, we grew our base international margins 100 to 200 basis points. And as we look forward, second quarter, third quarter, fourth quarter, which includes SBS, we still expect to have, in that base, including SBS, margin growth and accretion year-over-year. So margin expansion is a key part of our strategy and a big piece of our operating imperative. And just to add to David's comments on SVOD, nothing about our current thinking that says it's going to be fourth quarter. As Dave said, it really depends on when the right deal and the right economics get done. That could be any time.
Operator: Your next question comes from the line of Todd Juenger of Sanford Bernstein.
Todd Juenger: At this point, I'll try and keep just a couple of quick ones. On OWN, you mentioned multiple operating metric strengths and the return of some cash, but then the equity income line, which I know includes more than OWN, actually showed a sequential deceleration. So I just wondered if you could walk us through any of the impact in there and then what we should think about that going forward. The other quick one is just you mentioned the Olympics' impact in Q1 on some Discovery ratings. Just as we look forward in the summer, don't want to get surprised on this, anything we should think about in terms of World Cup and what that does for global advertising, both here in the States and then around the world?
Andrew C. Warren: Look, on time -- on OWN, Todd, it was -- we couldn't be happier with how the asset's performing. The $30 million swing year-over-year on cash flow is just tremendous for us, and that's the metric that we most look at and most follow year-over-year. With regard to the other income, fourth quarter is particularly strong based on the recognition of some of the Time Warner deal that we got done. But the performance of OWN right now is ahead of our expectations, both from an earnings perspective, in particular, and a cash flow perspective. So right now, it's really all positive signs from the key metrics that we look at and the imperative, if it's delivering value for us.
David M. Zaslav: And we're taking Oprah's content outside the U.S. We've launched a lot of the OWN content in South Africa, in Australia, where it's doing extremely well. And overall, the channel is -- it's outperforming. The advertisers are all with us. We now have all the distributors. And Oprah is really in full stride with a great brand that is really resonating with both men and women here in the U.S. and starting to resonate around the world as we roll it out.
Todd Juenger: Yes, so the second question was just, as we think about advertising over the summer, you had mentioned Olympics as a small factor in Q1. Just want to make sure, World Cup, if there was anything we should think about that in terms of what it means for you guys in terms of global advertising, both here, Europe, Latin America.
Andrew C. Warren: Yes, Todd, it should be a relatively small impact. I mean, some markets will be more meaningful, but overall, it will be a small impact.
Operator: Your next question, that comes from the line of Michael Nathanson of MoffettNathanson.
Michael Nathanson: I just have 2, I guess, housekeeping for Andy or if Dave wants to jump on this. SBS posted 11% EBITDA margin this quarter. Is that typical for the first quarter for that asset and kind of in line with what you thought it'd be? So just an update on that margin this quarter.
Andrew C. Warren: Yes, Michael, it's in line with expectation. It is their lowest-margin quarter of the year. Obviously, we didn't have the business consolidated with our results in 2013, but it's in line with expectations. And right now, SBS is performing in a kind of at or slightly better than we would've thought. The costs and synergies are better. The one thing that was arguably a little worse than we would've thought in the first quarter was the Olympic impact, particularly in Norway and Sweden. Given the performance of those athletes in those markets, there's a lot of ratings and viewership that went to those broadcast networks. But net-net-net, the asset's performing at or better than we had expected, and the first quarter is clearly their low point on an overall margin based on advertising flow and timing.
Michael Nathanson: Okay. And then just let me ask one on amortization. You've been calling out the stepped-up amort from SBS. When Eurosport closes, any sense of what the equivalent amort will be from Eurosport on top of the SBS? So any sense of that at this point?
Andrew C. Warren: Yes, Michael, for this year, given the timing of when we close Eurosport, it should be about $20 million. And on an annualized basis going forward, think about roughly $35 million of intangible amort.
Operator: Your next question comes from the line of Richard Greenfield of BTIG.
Richard Greenfield: I really wanted to just follow up on Michael's question. When you look at SBS, you've now owned it for a year. And while you didn't report Q1 last year, I was just wondering, could you give us a sense of what the growth profile of SBS looks like, revenue, EBITDA, anything? And I realize you had some impact of Olympics in Q1, but just anything to give us a sense of what the organic growth of that asset would've looked like on a year-over-year basis? And then essentially a similar question. Now that you're going to own more than 50% of Eurosport, could you give us a sense of what the growth profile now looks like of that asset in Q1 year-over-year?
Andrew C. Warren: Sure. On SBS, Richard, the growth, again, is in line with expectations. It was basically in-line flat to last year. Again, the Olympics impact was significant. For us, we expect to see some dilution of our overall top line growth just given the fact that it is a slower-growth asset. But again, we do think we're going to have meaningful margin accretion based on the performance of our synergies, both from the top line and cost. So the growth for that business should be slightly better than our expectation of deal case, which really speaks to the value and the multiple that we paid on a relative basis based on actuals is actually quite good and better than our due diligence and deal scenario. With regard to Eurosport, we're actually not going to highlight that specifically now. We will certainly, as we go forward, start highlighting the year-over-year variances. We'll speak more specifically to Eurosport and its performance, but right now, it's not something that we're going to highlight in any granular way.
David M. Zaslav: From a narrative perspective, Rich, Eurosport has been sold on a pan-European basis in 54 countries. And so the first thing we're going to do is sort of what we did 7 years ago, 8 years ago, when we attacked our international business. Because our international -- when we were making $100 million a year, we were selling only pan-European. We already have local sales teams in every country. We have very good relationships with the distributors. We have infrastructure in every country. So the first thing we're going to do is get the -- take advantage of all of the infrastructure we have in place already, which we think will be very efficient and effective in driving the overall performance of Eurosport, both in terms of deals that we're able to get with distributors, because we package their between 1 and 4 channels in each of those countries with our 8 to 10 channels. Also, it will be very easy for us, at little or no cost, to be selling locally because we already have teams in place. And so we'll apply a localized attack, which will help both in terms of cost and revenue synergy. And then we'll take a look at the overall asset. The good news for us is, for the next couple of years, the cost of the content is quite stable at this point because they've locked in tennis, which is U.S. Open, the French Open, the Australian open. They've locked in cycling, which is Tour de France and the key cycling events, and Winter Sports. Those are kind of the 3 big pillars of Eurosport, and those are locked in, in terms of cost structure for the next couple of years. So the question then is, as we drive this asset on a cost and revenue synergy side, is there -- is that all we do and just build the brand and build the asset that way? Or are there opportunities in local markets, with distributors or other players, to enhance the business by getting more aggressive? But we're going to take our time. We love the asset. We think it complements our existing infrastructure. It also gives us more scale in every market. And one of the hidden assets of Eurosport is we own all of the IP of all of those sports in Eastern and Western Europe on every platform. And as you look at where the world is going, for the next 3 years, the world is probably not going to change that much, and we just got more people wanting to spend more money and more windows for our content, and that's the good news. But if the world does change, the more IP you actually own, the better strategically positioned you are. And so we own all of our content on our 20-year library. And now to be in a position where we have meaningful live sports that are very popular with key affinity groups that we own all of the rights to, and all that IP becomes a nice hedge asset for us and may be an important one in the years ahead as you look to offer some of those sports that are real affinity sports maybe directly to customers.
Operator: Your next question is from the line of Michael Morris of Guggenheim Securities.
Michael C. Morris: A couple on advertising. Andy, you mentioned cancellations being up a little bit. Could you provide a little more color on that? Is that coming from some place in particular? Any more details there would help. And also, David, can you talk about just the advertising environment in general? It seems to be slowing a bit for TV. How much do you think is sort of the macro environment, and/or are you seeing competition and increasing competition from new digital competitors? And then just one other. Andy, in the past, you've mentioned high single to low double-digit EBITDA growth or OIBDA growth this year, excluding some of the nonrecurring or new items. I think that compares to the 6% in the quarter. Can you just highlight if that does compare to the 6% and what the swing factors are for your acceleration, if it's still the case this year?
David M. Zaslav: I'll just start with the advertising market. It feels pretty steady. I wouldn't read into the slightly up on the cancellation. It's pretty steady as she goes. We feel like the market remains strong. Pricing is good. We're heading into an upfront with real strength across our channels. So we're feeling good about it. It's too early to tell where the upfront is going to go. This quarter is pretty steady, looking good. The advertising market remains pretty strong, and pricing remains quite good.
Andrew C. Warren: Yes, Michael, on the cancellation front, like I -- it's up slightly. I would say a year ago was probably below normal levels, and now we're kind of at normal levels, so it's a small uptick. Again, to David's point, it's certainly not a cause for big concern. On the overall organic OIBDA growth story, we're still very much in line with that high single, low double-digit growth for the year. 6% for the first quarter was depressed a little bit for a few reasons. One, if you look at our corporate costs, they were actually, on an apples-to-apples basis, flat year-over-year. We continued to focus on cost productivity and driving down our SG&A structures, and we've done that. But there were 2 items in the first quarter that did meaningfully impact our overall growth rate. First was around professional fees. We have spent a fair amount of money on our tax restructuring efforts, with great payback. You saw, in the first quarter, our effective tax rate was down to 34%. So we're definitely seeing traction on the effective and cash tax line. But it does cost some money to make those kind of organizational and structural changes happen. And so some of the cost is in the first quarter. The other piece was our founder, John Hendricks, an amazing man, retired in the first quarter. And so there was some cost associated with his retirement and some acceleration of compensation and equity that also impacted our results. So net-net-net, we're still very much in line with and believe strongly in our high single-digit to low double-digit overall organic profit growth story.
Craig Felenstein: Thank you, everybody, for joining us. We appreciate it. If you have any follow-up questions, please call Jackie or myself and we'll be happy to help. Thanks.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. That concludes the presentation. You may now disconnect. Good day.